Operator: Greetings, and welcome to the flyExclusive Fourth Quarter and Full Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Sloan Bohlen, Investor Relations. Thank you, Sloan. You may begin.
Sloan Bohlen: Thank you, Matt. Good afternoon, and thank you for joining flyExclusive's Fourth Quarter 2024 Earnings Conference Call. Joining me on the call today is Jim Segrave, flyExclusive's Founder and Chief Executive Officer; and Brad Garner, our Chief Financial Officer. We announced 4Q and year-end financial results after the market closed today, along with the filing of our Form 10-K for the year ended December 31, 2024. We'll be providing certain non-GAAP information during today's discussion. Important disclosures about this information and a reconciliation of the non-GAAP information to comparable GAAP information is included in our Form 10-K filed with the SEC and is available on our Investor Relations website. In addition, this discussion might include forward-looking statements. Actual results might differ materially from any number of -- for any number of reasons, including risk factors described in our annual report on Form 10-K, in our quarterly reports on Form 10-Q and in the press release covering forward-looking statements. Rather than rereading this information, we're going to incorporate it by reference in our prepared remarks. And with that, let me turn the call over to Jim.
Jim Segrave: Thank you, Sloan, and thank you all for joining us today. It's a great way to kick off 2025 by reflecting on a year that fundamentally reshaped our business. 2024 was a year of bold decisions, hard execution and clear results. We set out with an ambitious plan, and we delivered. When we entered the year, we had just completed our transition to a public company. We were still carrying the weight of 37 nonperforming aircraft that had been a drag on margins and operations. We lacked experience, expertise and leadership in certain areas needed to execute our plan as a public company. SG&A was elevated, driven by the typical growing pains of going public with outside consulting services peaking at over $1.3 million per month. And while our vertically integrated platform was in place, it was not being leveraged. 12 months later, the picture is dramatically different. Let's begin with the fleet refresh because that was the backbone of our strategy. We started 2024 with over 100 aircraft on our certificate, but 37 of those were nonperforming aircraft. That's a polite way of saying most of them were losing money. They had a dispatch availability as low as 30%, which made them costly and inefficient to operate. These aircraft were down for maintenance more than twice the time that they were available to generate revenue, creating more operational friction than value. These nonperforming aircraft represented roughly $30 million in annual EBITDA drag. By the end of the year, we have sold or eliminated 20 of those aircraft. That number continues to improve in early 2025, and we expect fewer than 8 to remain by midyear. At the same time, we began onboarding Challenger 300s and 350 modern, fuel-efficient, high-performance, super-midsized jets. Their dispatch availability has exceeded expectations, delivering better than 80%, nearly 300% better than the aircraft they are replacing. These jets are better for operations, better for customers and better for our bottom line. Each Challenger contributes approximately $8 million to $10 million in annual revenue and does so at significantly better margins. We ended 2024 with 3 operational Challengers and as of today, have 5 in the fleet. Multiple additional aircraft are in the immediate pipeline, and we plan to bring the number up to 15 by the end of the year. Our Citation CJ3+ and XLS fleet continues to perform extremely well for us, and we will continue expanding these fleets in 2025 to support anticipated member growth. Now let's talk about operations because that is the core of what makes our business work. With fewer aircraft on certificate, you might assume we'd be flying less and generating less revenue. But in fact, the opposite happened. We flew more. Flight hours increased 36% in the fourth quarter year-over-year and hours per aircraft improved significantly. That speaks to both the quality of the refreshed fleet and the strength of our operating execution. We actually grew revenue in 2024 even as we removed 20 aircraft. That's a powerful testament to the strategy and the model we've built and is directly attributable to the great work of our team in operations and maintenance and, of course, to our pilots. We were the third fastest-growing private jet operator in 2024 based on flight hours flown. And even more impressively, we've been the fastest-growing company in the space since before the pandemic with 208% growth in flight hours since 2019. Dispatch availability improved 5% quarter-over-quarter. That improvement alone represents significant operational leverage. Annualized that translates into about $15 million in additional contribution margin. At our current size, every 1% increase in dispatch availability adds roughly $250,000 per month or $3 million a year to the bottom line. That's the kind of operating leverage this transformation has unlocked, and we are not done yet. We also overhauled maintenance operations. Our MRO business isn't just supporting our internal fleet now, it's becoming a revenue driver. In 2024, we grew MRO revenues by $2.6 million and 55% over 2023, serving both internal and external customers. Our Paint and Interior business, which previously focused on internal projects, now generates more of its revenue from outside clients. These are scalable, margin-accretive capabilities that we believe will grow meaningfully in the years ahead. Turning to the customer side. Our Jet Club Program continues to stand out. Membership grew 26% year-over-year, finishing at 1,195 members. That includes a 19% increase from Q3 alone, adding 190 new members in a single quarter. We focused on Jet Club marketing in Q4, given the softness in fractional sales tied to tax policy uncertainty and the election cycle that bet paid off. And just to be clear, even with all the membership growth, our customer-to-aircraft ratio continues to lead the industry. At 10.5 members per aircraft, we provide guaranteed access with unmatched service. Some of our competitors have 30-plus customers per aircraft. That model simply doesn't deliver the same experience and customers know it. As we continue to grow the fractional and Jet Club lines of business, we expect to ultimately settle around 15 members per aircraft. On the fractional side, we ended 2024 with 131 shares sold, up over 100% for the year. And while Q4 sales were slower than expected due to external factors, our pipeline remains strong, and we anticipate many of those delayed decisions converting in the first half of this year. Our wholesale and retail sales teams did an incredible job delivering record revenue, up 20% year-over-year in the face of a smaller fleet, a great validation of our market strategy, product delivery and sales execution. On the financial side, the numbers speak volumes. Gross profit for Q4 was nearly $16 million, up 300% from the same quarter last year and up 88% from Q3. Gross margin improved to 18%, up over 200% from the first half of 2024 and up 64% from Q3. Adjusted EBITDA loss narrowed to $6 million, a dramatic improvement from the $19 million loss in Q1 and improved from a $10.3 million loss in Q3. We also brought SG&A under control. As I mentioned, we were spending over $1.3 million a month on outside consulting in Q1 and Q2. In Q4, it averaged below $50,000 per month and has remained at or below this level so far in 2025. SG&A as a percentage of revenue fell from 31% in Q1 to 27% by Q4. That's a significant improvement in cost discipline and operating leverage that translates to over $14 million in annual savings. We have also identified another potential $1 million per month and continued additional cost optimization initiatives that we are implementing now and expect to realize over the balance of 2025. Our revenue generated per SG&A employee increased nearly 50% year-over-year from roughly $103,000 per person up to over $147,000 per person per month. We also reduced the total number of SG&A employees per aircraft from a peak of over 3 down to just 2.4 today, a 60-person reduction with a goal of ultimately getting it down closer to 2 people per plane in 2025. Our liquidity position improved by $16 million in Q4 as we ended the year with $29 million in cash. We have been intentional and disciplined about how we have funded our fleet refresh, primarily through fractional share proceeds and strategic aircraft disposals. Looking ahead, we anticipate incremental liquidity from increased velocity in fractional sales and the pending Jet.AI merger transaction, which we view as a source of capital flexibility, continued growth investment and further leveraging our operational platform. On the strategic front, 2024 was a breakout year. Our agreement with Volato brought nearly 200 new members into our ecosystem and validated our ability to scale. We integrated their fleet, absorbed their customers and delivered a better experience using 80% fewer employees than they needed before. That's the advantage of our vertically integrated platform. The proposed Jet.AI merger is the next evolution of that strategy, bringing capital, a complementary fleet and additional customers into the flyExclusive family. We also launched JC25, our newest club program that now includes our super-mid category, guaranteed continued access, simplified pricing, a streamlined contract and better flexibility. Early adoption has been strong, and we expect this to be a growth driver throughout 2025. I'd also like to acknowledge the incredible leadership team we've built. In 2024, we restructured, recruited and/or onboarded new leadership across the company, including a Chief Financial Officer, Chief Operations Officer, Senior VP of Technology and the Director of Internal Audit, while also redeploying existing talent into key roles of Chief Commercial Officer and Chief Accounting Officer. We stood up a new internal finance function, established SOX compliance protocols and have filed every SEC report on time since we put this leadership team in place. This was no small task, and the team executed with excellence. I could not be prouder of the professionalism, accountability and resilience that this team brought to the company. And all of this was accomplished at far less cost than what we experienced in the first half of 2023, relying heavily on outside consultants. We also rolled out a comprehensive safety management system, reinforced our minutes matter operational philosophy and passed an ARGUS audit with flying colors receiving the Platinum rating. The company is also Wyvern and IS-BAO certified, all industry-leading, independent outside firms that have audited and approved our systems and procedures. Safety and culture remain the bedrock of our company. Let me take a moment to walk through the biggest accomplishments of the year, each one a reflection of the day-to-day execution and hard work from our team. This is how we transformed our business last year. We delivered $91 million in Q4 revenue, up 20% year-over-year, even while operating a 17% smaller fleet. Flight hours rose 36% in the fourth quarter versus last year, driven by stronger utilization and improved dispatch availability. Membership in our Jet Club jumped 26% over the year to 1,195 members. We removed or sold 20 of 37 nonperforming aircraft in our fleet and added 3 Challengers with over 80% dispatch availability. Margins expanded to 18% in Q4, up from 11% in Q3 and just 8% in the first half of the year. Adjusted EBITDA improved from a $19 million loss in Q1 to just a $6 million loss in Q4, a huge step forward, and we expect this trend to continue. SG&A dropped from 31% of revenue in Q1 to 27% in Q4. This increase in revenue per SG&A employee, up 50% over the year, speaks to how much more productive and efficient the team has become, and we cut outside consulting from $1.3 million a month to under $50,000 a month at the same time. We ended 2024 with $29 million in cash, even after reducing accounts payable by $14 million from its peak midyear. We onboarded nearly 200 Volato customers and signed a merger agreement with Jet.AI to expand our capital base and customer reach. We built out a senior team in finance, tech, sales, marketing and operations. We implemented SOX controls, launched FMS and passed audits from “ARGUS”, Wyvern and IS-BAO. All of this happened in a single year, an incredible testament to the passion, drive and execution of this team. Now we turned the corner and focused on 2025. Let me walk through a few things I'm excited about as we look ahead. We are on track to complete the removal of the remaining nonperforming aircraft with fewer than 12 expected to remain by the end of Q1. We plan to grow our Challenger fleet to 15 by year-end, further improving dispatch availability and enhancing the customer experience. And from a revenue standpoint, each Challenger generates between $700,000 and $800,000 per month at attractive margins. We continue to drive more revenue per SG&A employee, targeting 2 SG&A employees per aircraft by the end of 2025, making our operation leaner and more scalable. We expect a 15% improvement in dispatch availability in 2025, driven by continued improvement in operations, the addition of more reliable aircraft and the elimination of nonperforming aircraft. With policy uncertainty fading and tax law clarity improving, we expect to convert many of the delayed fractional sales from last year in the first half of this year. Early momentum in the Jet Club Program is strong, and we expect this to be a recurring revenue driver throughout 2025. We now meet the Russell 2000 Index Fund eligibility requirements with adequate public float, stock price and market capitalization and anticipate potential inclusion in June of this year. Also in June, we expect to become shelf-eligible, giving us greater flexibility in future capital planning, allowing us to pay off existing expensive debt and continue funding our growth organically and through opportunistic acquisitions. In Q2, we anticipate closing a financing facility with North Fork Capital to support the acquisition of multiple additional Challenger jets and 2 new Citation XLS aircraft while also unlocking significant equity currently tied up in our fleet through refinancing using this facility. With a refreshed fleet, a more efficient organization, increasing recurring revenue from our Jet Club and fractional programs and a clear path to profitability, we are set up to deliver sustained EBITDA and free cash flow growth in 2025 and beyond. To our investors, customers and team, thank you for your confidence and support. And in the case of all of our team members, your hard work and diligence made this transformation possible. And to our sales team, pilots, technicians and frontline employees, you are the heart of this company. Your professionalism, hustle and pride in the flyExclusive brand are what set us apart. With that, I'll turn it over to Brad to walk through the financial details in more detail.
Brad Garner: Thank you, Jim. I want to echo your gratitude to our incredible team. Their dedication continues to set the pace in our industry for growth, safety, customer experience and service. Although I've only been with flyExclusive for just over 2 quarters, I'm incredibly proud of our collective accomplishments in such a short time. As Jim mentioned, we closed 2024 with strong momentum, reinforcing our confidence in achieving progressive margin expansion and cash flow improvement in 2025. Based on our current trajectory, that confidence has only grown. Let's start with our fourth quarter financial highlights. FlyExclusive reported Q4 revenues of approximately $91 million, as Jim referenced earlier, reflecting a 20% year-over-year increase despite a 17% reduction in fleet size. This growth underscores the strength of our operational execution and strategic initiatives. Both our fractional and Jet Club programs were standout performers, driving strong cash flow in the quarter. As Jim highlighted, at year-end, we had 1,195 Jet Club members, a 26% year-over-year increase with 190 new members added in Q4 alone, a 19% growth over the third quarter. Importantly, we continue to maintain an industry-leading member-to-aircraft ratio of approximately 10.5 members per aircraft, significantly lower than competitors operating at more than triple that level. It is this disciplined approach that ensures superior service quality and operational efficiency to all of our members. Similarly, fractional ownership contributed roughly $9 million in revenue in the fourth quarter of 2024, an increase of 73% quarter-over-quarter and 275% increase year-over-year. This growth highlights a significant shift in our revenue mix to recurring and sticky revenue through our fractional and Jet Club partner programs. Beyond membership growth, our flight activity reached unprecedented levels. We flew just short of 18,000 hours in fourth quarter 2024, a 20% increase over the prior year, demonstrating continued demand for our services. The month of December was particularly strong with a 29% increase in departures, which led the entire industry compared to the same period of 2023. This volume growth underscores our ability to drive efficiency and profitability. Our maintenance, repair and overhaul, MRO, business also delivered solid results with revenue growing $2.6 million year-over-year. Demand for these critical services continues to outstrip supply, positioning flyExclusive as a key provider in this space. We believe that our MRO operation is an integral driver of our top line growth and improvement in profitability in 2025, reinforcing our competitive advantage in servicing both aircraft owners and operators. Turning to profitability. We followed the quarter-over-quarter improvements reported in the third quarter with significant strides in our goal to drive sustained EBITDA growth in 2025. Operating margins improved meaningfully, increasing to 18%, up 700 basis points relative to Q3, which was the highest gross margin since becoming public. This continued improvement is a testament to the successfully executing on our fleet refresh initiative and enhanced fleet utilization. While this performance is impressive compared to last year, we see a clear path to further margin expansion in 2025, driven by: one, continued demand strength; two, execution on disposing of the remaining nonperforming aircraft; and three, adding Challengers and XLS Gen2s to the fleet. In conjunction with these margin enhancements, sustained cost management drove meaningful improvement in adjusted EBITDA. Quarter-over-quarter, we've demonstrated a clear trajectory of EBITDA improvement. If you recall, in Q1 2024, we reported an adjusted EBITDA loss of roughly $19 million, improving to $16 million in Q2 and further reducing to just over $10 million in Q3. Q4, as Jim shared earlier, was another step function improvement, bringing our adjusted EBITDA loss down to $6 million. As we progress through 2025, we see additional opportunities to optimize our cost structure further and believe that we're on a path to make continued progress on delivering positive adjusted EBITDA and most importantly, driving increasingly positive free cash flow. Moving to capitalization, liquidity and the impact of our recent strategic announcements. We generated positive free cash flow during the fourth quarter despite headwinds to fractional sales and aircraft disposals related to uncertainties around the election and the tax policy of this new administration. Amidst that uncertainty, we achieved record retail sales in our Jet Club program with over $27 million of new and renewal business during the quarter. We anticipate continued momentum with our new JC25 Jet Club program and our pipeline of fractional sales. We also expect that aircraft sales and disposals will accelerate its pace throughout 2025. In mid-February, we announced the proposed merger of Jet.AI's aviation operations that's expected to close in Q2 of this year. The proposed transaction will leverage our vertically integrated platform to achieve operational synergies while also providing capital to facilitate executing our 2025 growth plan. I'll reiterate the comments that I began last quarter's call with as I close. Our priority as a management team and mine since the first day I joined is to drive continued progress on flyExclusive profitability in 2025, and I am very pleased by the progress to date. As Jim highlighted earlier, 2024 was a transitional year for flyExclusive, and we demonstrated the resilience of our vertically integrated operating platform, the impact of our fleet modernization and cost management initiatives and the grit, leadership and commitment to excellence of each of our team members that culminated in realizing sequential improvements in our margins, a path to profitability and strengthening our balance sheet. With the momentum we've built, we remain confident in our ability to achieve sustainable EBITDA growth and enhanced margins in 2025. These financial improvements do not overshadow, however, the tremendous strides made in institutionalizing our business. As Jim referenced, we stood up an internal finance function, instituted SOX compliance protocols, and we now have filed 3 consecutive SEC reports on time and even earlier, all while nearly eliminating our reliance on outside consulting services. To accomplish this within a year is nothing short of amazing, and it's a testament to so many of our team, particularly those in finance. I'd like to extend my sincere gratitude to each of you for your dedication, teamwork, leadership and professionalism and your role in our transformation as a public company. Thank you all for joining. And now I'll turn it back to Sloan for questions.
Operator: [Operator Instructions] First question is from Marvin Fong from BTIG.
Marvin Fong : A couple for me. Maybe to kind of start with very much understandable what you said about fractional and there's some uncertainty out there. Just to kind of zero in on that topic, I mean, are there any particular items with respect to like tax policy that you're focusing on, that your potential customers are focusing on? Is it like bonus depreciation or something like that, that we should be kind of looking for? And maybe a second question, just on the macro environment, it looks like flight activity is actually pretty healthy to start the year. Just would love your characterization about how demand is shaping up as well as pricing, how does pricing feel as we stand currently?
Jim Segrave: Sure, Marvin. Thanks for the question. From a tax standpoint, 100% the bonus depreciation is what is on everyone's mind. Everyone expects that to be in the new tax law that they hope is passed sometime in the next few months. Most everyone believes that the President referenced that in his state of the union speech, and everyone is very much so anticipating that to be put back in place. So that's the tax uncertainty part of what drove a lot of the people to think, hey, let's wait until this year before we make a decision and hoping that, that tax policy comes in place. From a demand standpoint, we still get more requests every day than we can possibly fly. So the issue for us is to deliver dispatch availability, to improve that dispatch availability so we can take more of that demand. We don't have any issues still with the amount of trip requests and quotes that we send out. It's more a function of can we -- do we have enough airplanes to deliver that demand. As you said, the flight hours have held up extremely nicely in the first quarter, and we anticipate that being the same going forward. From a pricing standpoint, we have been able to increase our pricing, certainly on the light and the mid sections of the business to offset some of the additional cost drivers that come in every year from engine programs and parts programs, but we've had some pricing power, which has been fairly nice as well. And I think I got all 3 of them there, didn't I, Marvin?
Marvin Fong : Yes. No, you did a great job. In your prepared remarks, you're very clear about what we should expect to see in 2025. So very much appreciate those remarks. Maybe just the last one for me. Just -- I think you highlighted you have 5 Challengers now, hoping for 15 by the end of the year. Should we kind of expect that to be kind of spread evenly? I think you mentioned working on a new financing facility. Do you kind of want that in place before you get potentially a little more aggressive with the Challenger acquisition? Just kind of how we should think about the...
Jim Segrave: I think it will be fairly smooth over the year. There are multiple options, the financing facility that we are -- we expect to put in place next month will be part of that. But I think we're really planning on that to support Q3 initiatives. We have structures in place that will support the acquisition of Challengers over the next few months. And the next multiple airplanes have already been identified and are being evaluated in prepurchase inspections now. So I think the simple answer is I expect a fairly smooth addition throughout the rest of the year.
Operator: This concludes the question-and-answer session. I'd like to turn the floor back to Jim Segrave for any closing comments.
Jim Segrave: That's all I've got for today, guys. Thanks so much for joining the call.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.